Operator: Good afternoon, ladies and gentlemen, and welcome to the Resources Connection, Inc. Conference Call. Currently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. At this time, I would like to remind everyone that management will be commenting on results for fourth quarter ended May 27, 2023. They will also refer to certain non-GAAP financial measures. An explanation and reconciliation of these measures to the most comparable GAAP financial measures are included in the press release issued today. Today's press release can be viewed in the Investor Relations section at RGP's website and also filed today with the SEC. Also, during this call, management will make forward-looking statements regarding plans, initiatives, and strategies, and the anticipated financial performance of the company. Such statements are predictions and actual events or results may differ materially. Please see the Risk Factors section in RGP's report on Form 10-K for the year ended May 28, 2022, for a discussion of risks, uncertainties, and other factors that may cause the company's business, results of operations, and financial condition to differ materially from what is expressed or implied by forward-looking statements made during this call. Such discussion will also be included in the Risk Factors section in RGP's report on Form 10-K for the year ended May 27, 2023, which will be filed on July 25, 2023. I'll now turn the call over to RGP’s CEO, Kate Duchene.
Kate Duchene: Thank you, operator. Good afternoon everyone and thanks for being with us. We are proud of our performance during the fourth quarter and throughout fiscal ‘23, a year in which we delivered growth and improved profitability despite the choppiness of the macro environment. We strengthened the company financially and improved consultant and client retention. We are continuing to change the way the world works. Coming out of the pandemic, we have seen fundamental and lasting shifts in how professionals want to work and how companies want to get work done. We are delivering agile consulting to clients with experts who execute. Without the constraints of a bench model, we give experts choice and control over their projects so that when they engage on a project, it is because they want to deliver impact in the client's business. They are engaging in work that they want to accomplish. This resonates with clients who are weary of the traditional partnership model in which swarms of junior consultants with high bill rates get assigned to engagements without choice and often learn on the client's dime. We know there's a better way of getting consulting work done and are delivering that approach to the world's biggest and best brands. Turning to the numbers. In Q4, we achieved $184.4 million in revenue, which exceeded the high end of guidance. Gross margin remained strong at 41.1%, again exceeding the high end of guidance. Run rate SG&A spend was $52.5 million, coming in more favorable than guidance. Adjusted EBITDA margin was 12.6% for the quarter, in line with our stated goal of improving to mid-teen performance. With respect to full year performance, I'll highlight three points. We grew 1% year-over-year organically. Given the declining and uncertain macro environment during the second half of our fiscal year due to heightened inflation, interest rate increases, talent shortages worldwide and ongoing geopolitical conflict, we're proud to report real growth. We also improved gross margin by 110 basis points to 40.4%. Driven by improved bill rates, this is our highest full year gross margin in over a decade. Adjusted EBITDA was also up for the full year to $100.2 million or 12.9% of revenue, again representing our highest margin in over a decade. As we look ahead to fiscal '24, we note that in June, the World Economic Forum reported that chief economists are now equally divided on whether a recession will happen. Last Monday, a leading investment bank cut the probability of a US recession in 2023 to 20% from 25% citing inflation declines and economic resiliency. The conference board's chief economist predicted in her June report that the growth curve in the US returns broadly in early calendar 2024 and the likelihood of a soft landing for the economy is much higher today. In our client base, the buying environment is starting to show some green shoots in certain geographies and industries. For example, Europe and Asia Pacific revenue trends are improving. Our digital transformation business delivered by Veracity achieved strong double-digit growth over the prior year quarter, supporting our conviction that clients are continuing to pursue digital agendas. We believe we will see a steadier stream of opportunity as inflation moderates, interest rates stabilize and companies feel more secure that potential recession, if it comes at all, will be short and shallow. Next, I want to spend a few minutes outlining what we are focused on to execute against the opportunity ahead. First, we're moving into the testing phase of our global technology transformation, Project Phoenix. This project includes replacing our core financial and talent software systems and optimizing Salesforce and Workday HCM. And we will go live with our improved software platform and capability this fiscal year. We are investing in new systems to drive global visibility in our operations, increase efficiency through self-service, automation and generative AI and provide better data and analytics for improved decision making. We expect the investment to improve financial returns through headcount leverage and supply and demand optimization. We will continue to focus and deepen our service offerings to grow the technology, data and digital business. We have transitioned a part of our project consulting services practice from core RGP into Veracity to enhance our ability to cross-sell and deliver these services. In a recent CEO survey published by the conference board, digital transformation continues to be the number one priority investment for senior leaders. While other investments may be on hold, this category of transformation marches forward and we're well positioned to deliver. More than 30% of Veracity's revenue in fiscal ‘23 was delivered in the core RGP client base. So the cross-selling strategy is paying off. We will also continue to enhance our gross margin. We've undertaken a comprehensive review of our rate card versus the competition. We know the caliber and capability of our consultant set and will uplift our rate cards in fiscal ‘24 to reflect value delivered and market dynamics. This move will better reflect the experience and expertise of the consultants who deliver for the RGP brand, while continuing to provide exceptional value to our clients. Our consultants bring both functional expertise and experience in business and professional services, which enables them to drive impact faster. We deliver the rare trifecta, a point of view, independence and judgment. On that topic, I want to highlight at least two workforce trends I believe serve as tailwinds for our business. Last week, Bain & Company published a global research study on the rise of older workers filling more jobs in the future, which bodes well for RGP and what it offers these more experienced individuals. Specifically, Bain predicts that 150 million jobs across the globe will shift to workers over the age of 55 by 2030. The trend is pronounced in high income countries with significant labor force gaps like the US and Japan, two of our primary markets. Bain also found that these workers want autonomy and flexibility, which again is perfectly aligned to RGP's model. Bain concludes that companies who embrace a workforce strategy utilizing this talent pool will experience significant competitive advantage. We at RGP certainly agree. In the US, the accounting profession is under serious duress as more than 300,000 accountants left their jobs in the past two years. Accountants are increasingly rejecting the traditional accounting firm path in favor of finance, technology and consulting roles. They want careers with greater flexibility and choice. This pandemic-induced exodus provides increased opportunity for RGP and HUGO, our digital engagement staffing platform for mid to lower level accounting and finance talent to find project work through self-service. We can provide impactful project work for this in-demand talent set while delivering the choice, flexibility and control they desire. In closing, I want to thank our employees for their hard work and commitment this year. We are united in our purpose to dare to work differently. We take pride in our disruptive brand and are committed to delivering excellence every day for our clients and each other. We embrace working differently in a collaborative learning-oriented culture focused on people above all else. Backed by the tailwinds of today's world of work, our vision is to continue to disrupt the professional services marketplace with our unique approach that offers greater flexibility, value and engagement. We're excited about the year ahead. I'll now turn the call over to Tim for an update on operations.
Tim Brackney: Thank you, Kate, and good afternoon, everyone. During the fourth quarter, we saw solid revenue performance and operational metrics particularly given the macro environment with revenue of $184.4 million, which exceeded the top end of our quarterly guidance. Overall demand was strong, even as delayed starts and reduced project scopes persisted as clients continue to work through challenges in their business. Pipeline and opportunity endure, although comp conversion into engagements remains slower than traditional pace, driven by more judicious budget planning and scrutiny within our client base. These opportunities represent key initiatives for important clients, which although they require more persistence, represent real upside for our business, as we continue to take share from larger competitors. Regional performance was reflective of the overall environment with Veracity and Countsy demonstrating solid growth over prior year quarter. Our international business showed fortitude as Europe generated sequential growth and Asia Pacific posted strong results despite macro struggles in China. Our strategic accounts program demonstrated small growth on a year-to-date basis, but was down on a quarter-over-quarter basis. As we start fiscal ‘24, we know the overall market opportunity remains as companies continue to digest change and build transformation agendas that require flexibility in their workforce plan. The pace of required change for companies has not slowed, but the path to get there is more complex given both the dramatic adjustment in employee mindset, and a desire by companies to control the ultimate value of the shifts they make through the use of agile talent and co-delivery of important initiatives. The current environment provides a useful prism to view these shifts as speed, flexibility and ultimately value are the most important tenants of any solution demanded by clients today. These are hallmark traits of RGP, and we are seeing more opportunity to unseat, augment and manage larger consulting firms and the implementation of transformation initiatives. We call these shift share opportunities and they are becoming more prevalent. We see real demand coming as clients prepare for a push into the next calendar year. To demonstrate, a Fortune 500 consumer goods client is currently going through a multiyear ERP transformation. In past initiatives, this client has utilized one larger firm to deliver all work streams, including both implementation and stabilization of business as usual. For this current project, however, they chose a larger firm as their system integrator while relying on RGP to play two critical roles, provide stability to the current state financial close process, while also selecting to assist with testing, documentation and other requirements to support the go-live date. Another example of shift share is a new technology client that was carved out of an existing Fortune 500 customer. RGP assisted in the spin process and is now the primary project consulting partner for the new entity. It started with the stand-up of the new entity's core ERP in which we partnered with another firm who was the system integrator. The system went live a couple of months ago and we are now deep into post go-live support. This includes optimizing and supporting processes for inventory, data management and financial reporting. RGP is viewed as an essential partner in this client's journey to stabilization as they completely disengaged from a transaction services agreement with the former parent. On the Canada side of our business, in the fourth quarter, we continued to attract and retain exceptional talent to our platform. While some of the recent trends of restructuring and layoffs have dissipated, the impact on employee mindset has not receded. One of the effects of rapid change is the erosion of stability and traditional employment and that is readily apparent to the workforce. The last two economic cycles and the pandemic have offered generations of workers a front row seat to that dynamic. And more people are choosing the control that agile employment offers. Given this new norm and the strength of culture community and choice at RGP, we continue to attract a diverse and determined workforce, many working agilely for the first time. As an example, an applicant in our Southwest practice saw the layoffs happening in the energy sector and ahead of announcements at his own company reconnected with our talent team. Our team had established a relationship with him several months ago and continue to stay in touch even though he was not sure if he will leave industry to work in a more agile fashion. Keep up the experience he gained through the years could be used to help other companies solve problems and the current environment prompted this decision to finally leave the traditional workforce and do project consulting with us. He was immediately deployed on a project and has not looked back. Given the challenges with conversion and project starts, our talent team has stayed really close to new applicants at the timing of the first project will likely take longer than normal. Attrition remains in line sequentially and year-over-year, reflective of a hardworking and an empathetic talent team and the strength of our employment brand. Ultimately, we believe that the current environment will only accelerate a change in employee thinking and make RGP the employer of choice for talent that is daring to work differently. Now, we'll turn back to our fourth quarter operations. We achieved strong gross margins and were able to increase bill rates year-over-year. Our small investment in the strategic pricing team yielded pricing initiatives which were launched this fiscal year and will be a continued point of emphasis and expansion as we push into fiscal ‘24. Pricing leverage continues to be an opportunity across the enterprise as clients look for value and seek out the combination of trust and experience that we deliver. Early Q1 trends are in line with expectations given the summer months and increased holiday and vacation time. While we anticipate timing challenges related to project closes and starts to continue through the summer months, we know there is upside based on deals and pipeline. Finally, let me touch on operational leverage. In Q4, we continue to focus on managing costs and operating efficiently, resulting in strong EBITDA margin, particularly given the economic environment. We remain vigilant about discretionary spend in investments as we head into fiscal ‘24. I will now turn the call over to Jenn for a more detailed review of fourth quarter results and our outlook for the first quarter.
Jenn Ryu: Thank you, Tim, and good afternoon, everyone. This quarter, we achieved revenue and gross margin performance, exceeding the high end of our outlook range and we remained disciplined with our costs, performing better than the favorable end of our run rate SG&A outlook, delivering strong adjusted EBITDA of $23.2 million or a 12.6% margin. While we outperformed our top-line outlook range provided in April, compared to Q4 fiscal '22, we had elevated revenues as clients emerged from the pandemic. Revenue was down 11.5% on a same day constant currency basis and excluding task force divested in May of 2022. North America was down 12.6% while APAC declined 1.7% and Europe excluding task force declined by 5.6%. Bright spots in North America included Veracity and Countsy, both growing by double digits year-over-year. Despite the tough Q4 year-over-year comparisons, due to different revenue cadence throughout the two fiscal years, on a full year basis, same day, constant currency revenue grew 1% year-over-year after excluding taskforce, which made fiscal ‘23 one of the best years in over a decade, notwithstanding what has been an uncertain and challenging environment. Gross margin in the quarter was 41.1%. We continue to make good progress on raising bill rates, driving an improvement in the pay bill ratio of 146 basis points. Our US average bill rate rose 4% compared to the fourth quarter of fiscal '22 with Europe and Asia Pac driving 8% and 1% improvement on a constant currency basis. Excluding taskforce, enterprise average bill rate for the quarter was $130 constant currency, up from $129 a year ago, while average pay rate remains flat at $62. Turning to SG&A, we remain disciplined with cost management and continue to identify opportunities to streamline our cost structure. Our run rate SG&A expense for the quarter was $52.5 million, an improvement versus $56.3 million a year ago primarily as a result of lower incentive compensation expense. As a reminder, run rate SG&A excludes non-cash stock compensation restructuring charges, contingent consideration and technology transformation costs. Turning to liquidity. We continue to demonstrate our ability to generate robust cash flows. Cash from operations for the fiscal year was $82 million. We ended the fiscal year with $117 million of cash and cash equivalents and zero outstanding debt. We distributed nearly $4.8 million of dividends and repurchased $4.7 million worth of shares during the fourth quarter. With total available financial liquidity of $291 million, we plan to invest in the most critical areas in the business to drive long-term growth and profitability, while continuing to return cash to shareholders through dividends and by opportunistically buying back stocks through our share repurchase program which had $50 million available at the end of the fiscal year. Investments in our multiyear technology transformation project continue to progress. We incurred $4.7 million of costs in the quarter, of which $2.8 million were capitalized with the remaining $1.9 million included as non-run rate operating expense. We expect cash outlay on the transformation project in the first quarter to be in the range of $5 million to $7 million of which approximately $3 million to $4 million would be capitalized. Post go-live, we anticipate the new technology platform will drive long term value by improving our operating efficiency, enabling scale, enhancing the stickiness of our talent platform. I'll now close with our first quarter outlook. We're seeing the typical seasonality so far in weekly revenues as our consultants take time off throughout the summer. Particularly in Europe, we expect even more pronounced vacation impact beginning in August. Given the seasonality impact, coupled with overall economic softness and uncertainty, we estimate Q1 revenue will be in the range of $167 million to $172 million. We expect pay bill ratio in Q1 to remain healthy and offset by less favorable leverage on indirect cost of service as a result of top-line expectations, we expect gross margin to be in the range of 39.2% to 39.7%. On the SG&A front, we expect our run rate SG&A to be in the range of $56 million to $58 million, non-run rate and non-cash expenses for the first quarter will consist of $2 million to $3 million of technology transformation costs and approximately $3 million of stock compensation expense. While the general macro backdrop is currently posing challenges for our sector, we're excited about RGP's business fundamentals and longer-term outlook. With a resilient variable cost model, a pristine balance sheet and ample liquidity, we believe we are well positioned to continue to drive long term value for our shareholders. This concludes our prepared remarks and we will now open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Marc Riddick with Sidoti. You may proceed.
Marc Riddick: Hi, good evening. So thank you for all the detail on the results. I was wondering if you can talk a little bit about the pricing advantages that you've had from some of the learnings and maybe you sort of take us through maybe some of the areas of where you're gaining on those pricing learnings and then I have a follow-up around headcount.
Kate Duchene: Yeah, I'll start and then I'll ask Tim to comment with more details. But we've undertaken a comprehensive review of our competitive set and really are digging into the opportunity for RGP. We have always been value oriented and believe that we really need to bring our rates up to continue to reinforce the expertise and the caliber of the consultants that are delivering for us. I mean, when you compare our model to the traditional big four, Marc, we're providing apples to oranges, if you will. The differentiators for RGP are really the speed to impact, the kind of judgment and experience our consultants can bring right away and we need to better reflect that in our pricing. So now I'll turn it to Tim and he can give you some real [Technical Difficulty] on how we're moving that initiative forward.
Tim Brackney: Yeah. Hi, Mark. How are you?
Marc Riddick: Very good.
Tim Brackney: I'll add to what Kate said. Specifically this year, we sort of went about it in two main ways. The first one was to the training and actually going back through and making sure that our entire go-to-market team received strategic pricing training. Some of that honestly was more of a having people kind of get back to the basics of thinking about pricing to value as opposed to thinking about cost plus. I think that's actually had a very significant impact. The second piece was governance. And honestly I think that has really started to kick-in in the second half where our sales leaders are really more involved in the projects and transactions that occur and ensuring that we are actually adhering to the standard that we set in terms of pricing to value. And then I think the third thing and Kate alluded to this was like really taking a hard review of our existing rate cards, both internally with respect to geographies enrolled, but also with respect to our existing clients and as we -- and using our strategic pricing team to help us with some of those negotiations as we go forward. So a lot of that is prospective and we think there's also an opportunity for us to look at some of our existing engagements where we've had teams out there for long stretches of time where we think there's some uplift capability there as well.
Marc Riddick: Okay, great. And then, so I can talk a little bit about the headcount that we're looking at as far as finishing the year a little over 31, consultant headcount around [31, ballpark 3,150] (ph). Is there sort of any thoughts as to sort of what we might see there as far as changes going forward. Hello?
Kate Duchene: Yeah. Hi, Mark. I think that what we're seeing is consistency as Jenn said as we move into Q1, we will have some seasonality in our consultant week to week as people take time-off. But we're holding steady right now.
Marc Riddick: Great. And then the last thing I was wondering if you could talk a little bit about some of the -- some of the -- what we've learned over the last -- since we last talked around sort of the learnings of the HUGO rollout and maybe some of the benefits. And maybe if there's been any changes as to given the green shoots that we hopefully are seeing in the economy, just wondering if you're seeing any differences as to how customers are approaching HUGO during the rollout? Thank you.
Kate Duchene: Sure. Thanks Mark for the question. In commercializing HUGO this year, we're really focused on three success factors. One is in the category of marketing/revenue and how are we proceeding against plan and we're on track in periods one and two. The second is talent and getting those talent registrations and approved talent on the platform and that's trending very nicely. We're above our goal on getting talent registrations in. And then the third is tech and really understanding through our marketing plan how are people responding to their interaction with the platform and do we then need to adjust the product technology in order to capture more registrations. So far, things are looking good. I mean, I highlighted in my prepared remarks what's happening in the accounting profession because I do think it's an opportunity for HUGO and we'll just have to see that play out as more and more accountants are leaving their more traditional profession to say how can I bring my skills to market in new ways? So it's early days. I don't want to overstate the opportunity there, but I think that not only are the trends moving in our direction but the product itself is performing well. So we look forward to seeing how fiscal ‘24 unfolds.
Marc Riddick: Great. Thank you very much.
Kate Duchene: You're welcome.
Operator: [Operator Instructions] Our next question comes from Andre Childress with Baird. You may proceed.
Andre Childress: Hello, this is Andre Childress on for Mark Marcon. Thank you for taking our questions. My first question is, could you provide the sequential trends by month and what you saw as the quarter progressed?
Jenn Ryu: Hi, Andre. Yeah. Sure. I can do that. So at the start of the year in June and July, we're seeing the typical summer impact in the US and some of course in Europe and Asia Pac as well. Going into August though, we do think that typically in Europe, the vacation impact and holiday impact is more pronounced in August. Overall, I would say, compared to the end of Q4, the beginning of Q1 did slow down a bit due to the summer impact. But overall, the trend is in line with our expectation.
Andre Childress: And then what about during the quarter. So the past few months in terms of how the fiscal Q4 quarter progressed?
Jenn Ryu: Yeah. I would say it was steady throughout the quarter in Q4 throughout, meaning globally.
Andre Childress: Okay, great. And then you talked a little bit about seeing some green shoots in your prepared remarks, you talked about what areas we're doing a little bit better specifically, Veracity. But could you maybe provide a little bit more context of what you're seeing there? What areas are you seeing some green shoots? And then maybe on the flip side, what areas are seeing a little bit more pressure or scrutiny?
Kate Duchene: Yeah. Hi, Andre. It's Kate and then I'll ask Tim to comment too. So I'll give you a real example of a conversation I had last week with client, a CFO of a Fortune 500 pharma company. And he is very focused on three areas and starting to see project work pickup in the area of cost cutting, especially as it relates to what Tim said around shift share, really looking at the provider set and saying where can we get more value out of who helps us? And that I think is a direct opportunity for RGP. The second is optimizing, we see a lot of our largest clients now turning to optimize their global business services or shared services functions whether that's increasing the movement to lower cost environments, bringing more AI or automation into what they do or improving the employee engagement, optimizing software choices like ServiceNow that are investments they've already made. And then I think third is we're starting to hear more about transactions coming back into play. And that can always be an opportunity for RGP. And those are the kind of green shoots that we're seeing.
Tim Brackney: Andre, let me just add a couple of things. One is, I think the tech sector, which has been under fire the whole year, we're starting to see some flying there as some of the reorganizations and some of the strategic decisions that were put into play in the early part of the year are starting to shake out. So starting to get some firmness around workforce plans and their project slates. I'd say the same thing is true about healthcare, at least in some of our large healthcare clients. I think financial services, even though there has been some good news generally about the economy and interest rates and things like that, it's still a little bit mixed there. So we have some clients that are starting to pursue things. And then we have other clients that are still sort of going through evaluations.
Andre Childress: Great. Thank you. That's very helpful color. I'll just ask one more. You talked a little bit about capital allocation in the prepared remarks, but could you talk a little bit more about some of your priorities in the near term, whether that be share repurchases or investments organically?
Jenn Ryu: Yeah, I can take that, Andre. Yes, I mean, we -- obviously we have the technology transformation project that is ongoing and that is a pretty significant investment in the mid-$30 million range. So we're focused on that right now and we also are looking to invest organically in our digital business, our Veracity business. So there's investment going in that in there as well. So given some of these inorganic investments that we're making, we, as always, we will carefully consider accelerating buybacks and raising dividends. And so just as a reminder, in fiscal ‘24, we spent $34 million in total on share repurchases and dividends. So that's roughly about probably more than 50% of our net income for the year and we'll continue to balance that going forward.
Andre Childress: Great. Thank you for all the answers.
Operator: Thank you. And this concludes our Q&A session. I'd now like to turn the call back over to Kate Duchene for any closing remarks.
Kate Duchene: Josh, I see that we have somebody queued up. Can we open it to take one more call?
Operator: Yes. One moment for questions.
Kate Duchene: Thank you.
Operator: Our next question comes from Stephanie with JPMorgan. You may proceed.
Stephanie Yee: Hi, Kate. Thank you for squeezing me in. Jenn, just on the guide for the first quarter, can you tell us what the organic constant currency same day basis revenue assumption is?
Jenn Ryu: Yeah, sure. So at the top end of the range of $172 million, that's about a 16% decline from Q1 of last year, Q1 of fiscal '23. And I just want to remind everybody that Q1 of fiscal '23 is -- is the best Q1 that we had coming out of the pandemic since 2008. So it is a tough comparison. So -- but if you look at it on a same day basis at $172 million top end of the range, you're looking at about a 16% decline from last quarter -- last year same quarter.
Stephanie Yee: Okay, great. And Kate, can you -- or Jenn, can you remind us how you feel about how RGP is tracking towards your fiscal 2025 financial targets just given the change in the environment, but then also just where we are currently given your comments about the economic environment, just how you're thinking about those targets that you put forth at Investor Day?
Kate Duchene: Yeah. I mean, I'll just start Stephanie quickly and then hand it to Jenn. I mean, I think we're in a more challenged environment. There's no question and it's not just RGP that's facing this, it's really every client we talk to. And all of our professional services competitive set. I mean, I can tell you we are working extremely hard not only on volume and capturing every opportunity, but increasing our pricing so that we drive upside on the top-line through more value-oriented pricing. So do I think that our range is still realistic? I think it's challenging, but I think it is realistic and we're working hard to achieve it. So with that, Jenn, do you have more specifics you'd like to offer?
Jenn Ryu: No, I would agree with that. I mean, we are a year into the three-year time period. And we all know that it is -- our overall sector has been -- the broader sector has been challenged and has been sluggish. With that said, coming out of the pandemic in fiscal '22, we grew 28-plus-percent. So can we still get there? I think it's too early to change that range.
Kate Duchene: Yes, Stephanie, I'd also say one of our biggest initiatives and I really hope it's reflected in all of the models is our improvement in adjusted EBITDA and improving the profitability of the company. And we're really proud of what we're driving around enhanced shareholder value. So to me, it's not just top-line. It's the combination of return we're delivering for our shareholder base.
Jenn Ryu: Yeah. Kate, I just have one more [indiscernible] thank you for bringing that up. The adjusted EBITDA, what we said on Investor Day was targeting 12% if you look at our adjusted EBITDA, we're already -- we've already exceeded that. And we have also said that longer term, we're targeting in mid-teen EBITDA and with some of the pricing initiatives that we're driving to continue to expand our gross margin and our SG&A without the one-time item assuming macro start to recover a bit, we should be able to run between 27% and 28%. And so that's how we're looking at our long-term EBITDA margin target is working towards that mid-teens number.
Stephanie Yee: Okay. Great. Thank you. That all makes sense. Thanks very much.
Operator: Thank you. And I'd now like to turn the call back over to Kate Duchene for any closing remarks.
Kate Duchene: Thank you, operator. I want to thank everyone for your support of RGP, your interest in our company and what we're doing, again to change the way the world works. And we look forward to talking with you after Q1 in the fall. Thanks everyone and enjoy the summer.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.